Operator: Good day, ladies and gentlemen, and welcome to the Capstone Turbine Corporation Earnings Conference Call for the Second Quarter Fiscal Year 2016 Financial Results ended on September 30, 2015. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Clarice Hovsepian, Vice President, Human Resources and Corporate Counsel. Ma'am, you may begin
Clarice Hovsepian: Thank you. Good afternoon and welcome to Capstone Turbine Corporation's conference call for the second quarter of fiscal year 2016 ended September 30, 2015. Capstone filed its Quarterly Report on Form 10-Q with the Securities and Exchange Commission today, November 5, 2015. If you do not have access to this document and would like one, please contact us by email at ir@capstoneturbine.com, or you can view all of our public filings on the SEC website at www.sec.gov or on our website at www.capstoneturbine.com. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements relate to among other things, collection of reserved accounts receivables, shipment of finished goods, benefits from our cost-reduction initiatives, improved operating profits leverage and organizational efficiency, strengthened distribution channels, new product development, implementation of new capital finance business, product reliability, product price increases, growth and diversification of our end markets, performance in light of macroeconomic headwinds and attaining profitability. Forward-looking statements may be identified by words such as believe, expect, objective, intend, targeted, plan and similar phrases. These forward-looking statements are subject to numerous assumptions, risks and uncertainties described in Capstone's Form 10-K, Form 10-Q and other recent filings with the Securities and Exchange Commission that may cause Capstone's actual results to be materially different from any future results expressed or implied in such statements. Because of the risks and uncertainties, Capstone cautions you not to place undue reliance on these statements, which speak only as of today. We undertake no obligation and specifically disclaim any obligation to release any revisions to any forward-looking statements to reflect events or circumstances after the date of this conference call or to reflect the occurrence of unanticipated events. I will now turn the call over to Capstone's President and Chief Executive Officer, Darren Jamison.
Darren Jamison: Thank you, Clarice. Good afternoon, and welcome everyone to Capstone's second quarter earnings call. Joining me today besides Clarice is also Jayme Brooks, our Chief Financial Officer and Chief Accounting Officer. Today we're going to mix things up a little bit. As we've already pre-announced the second quarter results, I think for this quarter it's more important to focus on the future rather than to dwell in the past. Therefore, I will skip my normal remarks about the quarter and go straight to Jamie and she'll be giving you a brief overview of the second quarter financial results. And I'll be spending all my time with you today talking about our future strategy and how we intend to get back on track to achieve our revenue growth and improve our bottom line results as quickly as possible. I will then take some questions from our analysts. But in addition, as you will notice as Clarice said, we will not be referring to any presentation materials in today’s call but please feel free to review our second quarter press release and associated 10-Q as they have many additional details. With that done, I will go ahead and turn the call over to Jamie to discuss our Q2 financial results. Jayme?
Jayme Brooks: Thanks Darren. Good afternoon everyone. As Darren mentioned, the second quarter of fiscal 2016 was a challenging quarter for us as revenue came in below our expectations due to continued macroeconomic headwinds, continued softness of the global oil and gas market, related customer shipment of orders from finished goods, and the strengthening of the U.S. dollar which makes our products more expensive overseas. Revenue for the second quarter fiscal 2016 was $17.9 million, a decrease of 44% or $14.3 million from last year's second quarter revenue of $32.2 million. Product revenue was $11.6 million for the second quarter of fiscal 2016 compared to $26.7 million in the second quarter of fiscal 2015. We shipped 11.6 megawatts during the second quarter of fiscal 2016 compared with 28.5 megawatts in the second quarter of fiscal 2015. The decrease in product revenue and megawatts shipped in the second quarter of fiscal 2016 over the prior quarter was the result of reduced volume of micro turbines shipped and we had no product shipments to be PC, one of our Russian distributors, continued challenges in the oil and gas market and a shift in customer projects timeline. Revenue from accessories, parts and service increased 15% or $800,000 to $6.3 million for the second quarter of fiscal 2016 compared to $5.5 million for last year's second quarter. This increase is primarily the result of higher FPP contracts enrollment and micro turbine service work. Gross margin for the second quarter decreased $1.9 million or 11% of sales compared with gross margin of $5.2 million or 16% of sales for last year's second quarter. This decrease was the result of lower volumes micro turbines shipped and a shift in product mix totaling $5.4 million. R&D expenses for the second quarter increase $0.8 million to $2.9 million compared to $2.1 million in the second quarter a year ago. SG&A in the second quarter fiscal 2016 decreased $2.8 million or 29% to $6.7 million from $9.5 million in the second quarter of fiscal 2015. The net decrease in SG&A over the second quarter last year included a decrease of $3.1 million in bad debt expense offset by an increase of $0.2 million in marketing expense and $0.1 million in consulting expense. The operating loss for the second quarter of fiscal 2016 was $7.6 million compared to $6.4 million for the second quarter of fiscal 2015. Net loss for the quarter was $7.9 million compared with $6.5 million for the second quarter year ago. Net loss per share was unchanged from the prior year $0.02 per share. Now I'll provide some comments on our backlog accounts receivable and cash flow. Our product backlog as of September 30, 2015 was $104.8 million compared with $172.3 million as a September 30, 2014. The year-over-year decrease was $67.5 million or 39%. The decrease in backlog includes our decision to remove $52.4 million or 200 units totaling 64.5 megawatts in backlog from BPC to align our backlog with management expectation because of the current macroeconomic climate in Russia and the oil and gas market. Our FPP service contract backlog at September 30, 2015 was $65.3 million compared to $61.2 million as of March 31, 2015 and $60.9 million at September 30, 2014. These increases reflect our growing installed base of micro turbines, as well as the ongoing efforts of our more mature distributors to sell or FPP service contracts which enable the end customer to achieve a lower total cost of ownership. Our accounts receivable as of September 30, 2015, net of allowances were $16.2 million compared to $13.1 million at March 31, 2015. Our day sales outstanding or DSO was 82 days during the second quarter of fiscal 2016 compared with 65 days in the second quarter of fiscal 2015. The 17-day increase in DSO was due to the lower than expected revenue and slower collection of accounts receivable. There was no bad debt expense during the second quarter of fiscal 2016 and the six months ended September 30, 2015. We recorded bad debt expense of approximately $3.1 million, primarily for EMI, one of our distributors for the Middle East and Africa during the six months ended September 30, 2014. Inventories were $31 million as of September 30, 2015, up from $25.4 million at March 31, 2015. Inventories increased primarily as a result of finished goods not being shipped. Our cash used in operating activities for the second quarter of fiscal 2016 was $11.6 million as compared to $5.6 million in the second quarter of fiscal 2015. At September 30, 2015 we had cash and cash equivalents of $10.6 million and $5 million of restricted cash related to our Wells Fargo credit facility for a total of $15.6 million compared to cash and cash equivalents of $32.2 million as of March 31, 2015. Next I'll provide you with an update on the recovery of our two main bad debt reserves. EMI has indicated it signed a contract to sell the three C1000 they have from their cancelled project in Africa. We expect to disallow them to clear the $2.6 million pass balance in Q4 of fiscal 2015 which has been fully reserved. This will give us a substantial cash recovery coupled with a large credit to SG&A when the payment is received. BPC made payments of approximately $150,000 during the quarter for spare parts, and a portion of the product that was shipped to them in March. The portion of this payment related to the product shipped to them in March was recognized as revenue in the second quarter of fiscal 2016. As you may recall, BPC has agreed to payment terms of cash on delivery, has a 50% premium to pay down their past few balance which isn't fully reserved. With that I will like to turn the call back to Darren to discuss our forward business strategy.
Darren Jamison: Thank you, Jayme. Jayme said this quarter has been exceptionally challenging, one for our company, our vendors, our employees and our shareholders. It's particularly disappointing coming out as a strong first quarter that was the second best first quarter in company history. Revenue for the second quarter was substantially below our internal expectations, because of that we ended the quarter with 72 micro turbines or 12.7 megawatts, roughly $13 million of units in finished goods that were not shipped to customers for varying reasons. The simple answer is though, we had a variety of customer projects that are taking longer to execute than we expected. Today we shipped approximately a quarter of the $13 million from last quarter's finished goods with approximately another one-third expected to ship in November. I anticipate the balance of the finished goods will be reconfigured to fill other customers planned orders, and is expected to ship in December. In addition, we have pushed out the timing of new raw material deliveries with receipts to make sure that in turn to substantially reduce our overall inventory levels by the end of the fiscal year. However, accelerating the shipment of finished goods and pushing out of our incoming inventory receipts are not the only corrective actions that we are undertaking to quickly improve our business situation, and help us achieve our goal of reaching EBITDA breakeven despite these challenging macroeconomic headwinds. I want to review with you some of our actions that we have taken recently and plan to take moving forward to lower our operating expenses and regain their revenue momentum despite these headwinds. Looking back to April, we started at the top. We started at the top by consolidating responsibilities and eliminating three top level executives from the company; all three of these executives were member of my leadership team. In July with followed our global distributor conference with our distribution partners committing to add over 100 new sales people by Christmas. I'm pleased to announce that we're well on the way to making that a reality. Over the past couple of months we eliminated total 29 positions here at Capstone which included some full-time and some temporary workers, we seized all hourly overtime wherever possible, we suspended the annual company-wide merit increase, and we converted all cash commissions and cash bonuses to cast on-stock. In late October we cancelled most of the planned CapEx spend for the remainder of the year and the majority of next year. In late October the management team agreed to voluntarily suspend the executive bonus program and forfeit any unvested executive stock options. Today we're suspending the commercialization of the C250, C270 program so that we can reduce our R&D spend and focus solely on our core Capstone products. In mid-November, we'll continue to monitor expenses and we'll be finalizing a comprehensive spending reduction plan that will even further reduce our targeted G&A and R&D sales and service spending, and will continue to drive deeper cost savings in the travel, marketing, advertising etcetera. In late November, we expect to finalize Capstone Finance JV business that will finally allow us survive third-party ownership for U.S. oil and gas customers that do not have the capital budgets but want the product today. On December 8 at PowerGen International we will proudly unveil our new enhanced C1000 products series with new reliability and design improvements targeted specifically at the growing CHP market. In January we'll affect the product price increase for the U.S. markets only, while continuing our aggressive direct material cost reduction efforts in the next year. Taking in aggregate, these actions are expected to lower our total operating expenses approximately 25%. Therefore lowering our quarterly EBITDA breakeven level for approximately $40 million per quarter at a 25% gross margin to $30 million per quarter at a 25% gross margin. The 100 new sales people we added to our distributors, the new Capstone Finance JV, the new C1000 Series product with features focused on the CHP market and improved reliability will all help drive future topline revenue growth, and they will complement our robust and growing aftermarket service business. In addition, our renewed focus on Latin America, Africa, Middle East and Australia is driving new opportunities. These new opportunities reflected in our second quarter results, specifically in Australia which made up 30% of our overall revenue. To put that in perspective, during the second quarter we shipped nearly as many megawatts of product to Australia as we did during an entire previous fiscal year. In addition, we recently received orders from Latin America with strong growing business opportunities in Brazil, Colombia, Chile and Ecuador. I recently returned from U.S. Department of Commerce Trade Winds Trade Mission to Africa and I'm happy to report we're making good headway in Nigeria, Angola and South Africa. The opportunities in Africa are enormous with heavy demands for distributor generation in oil and gas, CHP, and bio gas. The headwinds we are facing are real and have impacted our largest customer, our largest vertical market, and has also made our already premium priced product that much more expensive overseas. While some companies of our size may have weltered under such heavy economic pressure, I can assure you as I sit here today, we are more dedicated than ever and more unwavering than ever to make this company and its clean and green micro turbine end solutions not only survive but thrive. The good news is these headwinds we face are cyclical and they will add eventually. However, in the interim we are actively working on new areas of growth, we're also making hard decisions to structure the company, to be sustainable at much lower revenue levels. The key element in a situation like this is determining the right revenue level. So in doing so we looked all the way back to fiscal 2012 to today. The average revenue for the company over the last 18 quarters is approximately $30 million per quarter with revenue exceeding $30 million nine times and reaching at least $27 million 13 times. So said in another way, based upon our cost structure with reduced expenses by 25%, we would have been breakeven or close to breakeven 13 of the last 18 quarters when revenue at least hit $27 million or beyond. Therefore I'm very confident that we can again quickly get back to these revenue levels and reach even our breakeven with our new cost structure. At this point operator, I think I'm ready to go ahead and take some questions from our analysts.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Moses Sutton with Cowen and Company. Your line is now open. Moses Sutton Hi, this is Moses sitting on for Jeff Osborne, thanks for taking our question. What specific measures are you asking to improve the close rate on your $1.5 billion pipeline for around 10% to I believe the 20% goal. Darren Jamison Yes, Moses, it's actually 11% currently today on the $1.5 billion. We'd like to see that north of 20%. If you look at it, that close rate is a mix of all of our distributors, both mature and new distributors. Our mature distributors are well north of the 20% close rate and our less mature newer distributors are down in the 2%, 3%, 4%. So really it's two-fold, it's a matter of training. In fact we've got about 20 distributor sales people here in the plant today for a couple days doing sales training. But it's sales training, its application training, it's helping them market the product, it's doing four legged sales calls with them. We also do a lot of B2B events with our distributors as well. But one of the most important things is just timing the market. The longer they understand the market, the longer they're in the market, the more effective they become, the better they can target the right customers. I meet recently this week with our Brazilian distributor. He has made a lot of progress in the last year since I was in Brazil. He's got a better understanding of the market, how to attack it, where the opportunities are. He's also come up with financial solutions and financing for his customers which is obviously a very big key to his success down there. So again, I think for us execution is key and the better our distributors get, the better off we will be. Having a better product that's more market focused, cheaper and easier to install also will help them. Great question, Moses. Moses Sutton Great, thanks, that's very helpful. Also is Latin America, North America still the majority of your pipeline? How is that mix been shifting over the recent quarters and what do you see going forward? Darren Jamison Definitely, North America has been our most successful market. If you look at the U.S. because of the strong dollar and the low natural gas prices we're seeing CHP in the East Coast and the West Coast are extremely strong, you talk to our distributor here in California and he'll say his backlog is pending orders, the best it's ever been and get the highest confidence. Very similar you talk to our East Coast distributors as well. We've got a new distributor in Canada that's making some hay and doing some good work. New distributors in Alaska and Hawaii that are both doing extremely well. But again, the most important thing is the successful project. So as we get one or two good projects in these areas we can leverage other customers. Mexico is very strong, the energy deregulation and changes are making in Mexican market is really driving DTC, our distributor there. So most of our growth and opportunity in kind of that hemisphere is South America. We're seeing a couple small orders from Brazil recently, and I see 600 for Columbia recently. Chile and Ecuador still have huge upside. So definitely we see a similar amount of opportunity in Latin America but as much lower close rate. So again, North America is closer to that 20% close rate, Latin America is down in the single digits. But as our distributors in Latin America mature, we expect to see similar close rates. Obviously, I mentioned Australia is extremely robust right now, we're happy with going on in Europe, it's steady but improving. We are currently on the ground right now with new sales person and our VP of Sales, Jim Kraus is in Russia this week as we speak. I think we're feeling better about that market that it's finally bottomed out and we're hopeful knocking would see some return to growth for that market. Moses Sutton Great, thanks, that's quite helpful. And just one final question, In Russia with BPC you noted that you received - I think $150,000 this quarter in payments. How much of the receivables are still outstanding? Do you expect any visibility into future payments next quarter or thereafter? Darren Jamison Yes, like as we said, we're on the ground this week meeting with them. The good news is they're still viable; they've diversified their business into some gas compression and some other areas so that's good. Over half of their revenue right now is coming outside of Russia, primarily Belarus and some of the other stance. So I think they've done the right things to overcome the headwinds they have in the market, they are forecasting about seven to eight megawatts next year. We're hopeful to get a payment from them before the end of the calendar year to help to pay down that receivable but that receivable still approximately $7 million today. So I think there is - again, Russia can't get worse for us, it can only get better. We do have a second distributor in Russia called Electrosystem who are looking at their way to leverage their capabilities as well. So I do think we've seen the worst knock-on-wood in Russia and the next year we're going to see some return of those receivables, as well as some revenue growth. Moses Sutton Thanks, that's very helpful. Darren Jamison Thank you.
Operator: And our next question comes from the line of Eric Stine - Craig-Hallum. Your line is now open. Unidentified Analyst Hi Darren, hi Jayme, it's Erin Bahala [ph] on for Eric. Thanks for taking the questions. First, you touched on South America a little bit but can you just kind of go into a little bit more detail there. It sounds like - it's just, part of it is just getting the distributor network trained up. But are there any other gating factors before we see some traction with the large order opportunities down there? Darren Jamison Yes, I mean financing in Latin America is still challenging in lot of projects. We have a large 30 megawatt project in Ecuador that we've all but won but financing for the project is still pending. I think getting financing in Latin America is more challenging with a strong dollar and some of the economies down there. Again, I mentioned in Brazil our distributor, Heimer, they've done a good job at aligning up some financing, it's still a little too expensive but I think it enables us to go forward. When I was down there in Brazil, we did everything from spent time with gas companies, manufactures, hot dog food processing, we've actually got some nice industrial companies that are ceramics and things like that, that seemed like very good opportunities. Also if you look at the gas pipeline that runs from Bolivia down into the Brazil, the Bolivian side is all a Capstone product among the pipeline, and the Brazil side is all Waukesha because Waukesha machines are internal combustion engines, they reach the stage they need overhaul, the reliability has been very poor and the cost of operating is very high. So I think we have a nice opportunity there to go in and repower a lot of those Waukesha reciprocating engines along the pipeline and put in a better technology. So it's really everything from oil and gas opportunities so CHP, Ecuador's own installed CHP. I think if you look at Columbia that's both CHP and oil and gas. But the markets are big, the opportunities are large, finding the right partners that can solve the political issues or the financing issues is really the key. But I think we're very comfortable. If you look at the distributors we've had down there, they haven't changed for the last three years, all of them are maturing and look for much future success compared with they've had. Unidentified Analyst All right, thanks for that. And then maybe on Capstone Finance, you kind of touched on a little bit here in late November hoping to get that thing finalized. Can you just kind of talk about demand and pipeline there and how quickly you think you might be able to get some traction there? Darren Jamison Yes, I mean if you look at it, we have salesforce.com, so any lost orders we put in the reason for losing the order. I would say more of than half the orders we lose are because financing is not available or it's expensive. And so to have our own Capstone financial vehicle, I think it's critical. The major market we want to go after are the U.S. oil and gas, we've seen a major drop, especially in Shale Gas in the U.S. as capital budgets have been slashed as oil prices have dropped to $40 a barrel and a little bit below. So we have a lot of good customers that currently have Capstone products, they wanted more Capstone product in the field, they've got free fuel that they are getting out of the ground as part of their drilling opportunity. So if we can find a way to put product underground, make it part of their operating expense, lower their operating expense and then given them the opportunity to buy that product in the future when they do have capital budgets that return, we think that's the right thing to do, solve the customer problem. And I think that either we can flip those projects into somebody else's YieldCo [ph] or sell them back to the customer and then kind of rinse and repeat and get those dollars put back to work to do more sales. We're not looking to be a finance company, we're looking to solve customer problems and to recharge our sales that have lagged in the oil and gas space. So we've spent a lot of time putting together the national account agreement, all the purchase rights with the power purchase agreements, all the legal documents, tax issues and all those things are 99% complete. We should be going into the signature phase here very shortly. We already have term sheet out to customers, so as we get to entity, formalize and set up everything through signatory, we'll then start executing on those terms sheets. So, definitely I would hope by the end of November we can announce our first term sheet has been signed and we're moving into contracting, and maybe get some product on the ground before the end of our fiscal year. Unidentified Analyst Okay, good, that's good color. Maybe last for me, I guess just looking at backlog so scrubbing out BPC makes sense but just as we look at over the next few quarters, how should we look at that backlog now as an indicator of revenues? Darren Jamison Yes, I mean in the good days back in 2012, 2013, 20014, and even part of 2015 I would say you could look at that and our backlog was a good indicator of next year's revenue, and really held true for several years. In today's markets I think that's less easy to say. So we actually thought about - now even showing people our backlog right now just not to confuse people. I think taking out BPC voluntarily, I think it's important to note they did not cancel those orders; we took them out voluntarily at the backlog because we don't want to mislead folks on what the revenue is going to be for the next year. So as we look at it, I think the backlog that we have now more accurately reflects kind of ongoing revenue levels but it's really difficult. I mean if you look at the miss we had for the quarter, it was a hospital that was oil and gas, it was an industrial company, it was a hotel chain, it was really across the board. So I think with the overall strength of the dollar, the slowdown in oil and gas, and then just generally people are concerned about the economy right now. And so things just aren't moving as fast as we'd like. So in other words, it's a bit of a non-answer answer but I think the reality is, I'm very comfortable we get back to a $30 million revenue level. If you look at that, because I said in my prepared remarks, to go back to fiscal 2012 we hit $30 million three out of four quarters. If you look at 2013, it was four out of four. If you look at 2014, it was three out of four. Fiscal 2015 was three out of four. In our first quarter - this fiscal year it was $27 million, so I'm very comfortable that with the growth we're going to see in some new markets and the CHP growth here in the U.S. we can quickly get back to that $30 million quarterly run rate. So that being said, Q3 and Q4, we're still a little uncertain on what the markets are going to do but I think for next fiscal year we should be targeting at least $30 million quarter. Unidentified Analyst Good, that's good color. Thanks, I'll hop back in the queue. Darren Jamison Thank you.
Operator: And our next question comes from the line of Sameer Joshi with Rodman and Renshaw. Your line is now open. Sameer Joshi Thanks Darren, thanks Jayme. My question relates to EMI, has there been any recovery from them? I heard Jayme say they signed agreement but has that been any recovery from them so far? Darren Jamison No, they've signed a purchase agreement with another customer, because the project - the original project was cancelled. They have made $500,000 or $600,000 and just kind of good payments since the original project was cancelled. They have a robust pipeline of pending orders. So we're fairly confident we're going to get that flushed through in the fourth quarter or our March quarter, and that will come through as a 100% recovery. I think again, I think we'll see some BPC payments as well in that timeframe. So I do think of that probably $10 million or $11 million we have reserve, we'll see 30% to 40% of it before the end of our fiscal year. And that's a good start and then we'll hopefully do more next year. Sameer Joshi Okay, thanks. And then the next question relates to the $13 million of orders that were pushed out from the last quarter. I heard somewhere - I heard you say one-fourth of that was shipped in October, one-third will be shipped in November. So does the remaining, roughly 40%, is it still considered backlog orders to be delivered or will it be repurposed? Darren Jamison Great question. Of the 13 megawatts, none of it is being cancelled. As you said, we've shipped in October about 25%, about roughly four megawatts. We've got about one-third of that lined up to ship in this quarter, some of it, still this week, next week, definitely before the end of November. The final piece of that though we will probably repurpose for other orders just to make sure it goes. We want to make sure that we don't carry any backlog or as little as possible into the fourth quarter. So I think that orders may come later but we want to make sure we get all the backlog out of the door. Having 72 micro turbines sitting on our finished goods floor is not something we want to continue to do. We have worked with all of our vendors, they've all received push out notices, I've been on the phone with several of our largest vendors, obviously they weren't happy to receive those push out notices but they've been very flexible in accommodating and understanding that we can't run at these elevated inventory levels, our balance sheet is just not big enough to support it. So we need to get the finished goods out of the shop, slow down the incoming inventory, get the inventory right-sized. Before the slowdown, the headwinds we're running close to five inventory turns, Richard and his team want to see those numbers closer to six or seven, so we need to strive to hit those numbers and right-size our inventory. Sameer Joshi Okay. And then the next question relates to the service revenue. I know that the service backlog, the FPP backlog has increased but how was this quarter service revenue related to the previous quarter? Darren Jamison Yes, the service revenue continues to increase. We've actually broken it out for the first time in the company history because it's a large enough piece of our business that we need to break it out separately. So if you actually go into our cues in case you're going to see product that broken out, as well as parts and service. So more granularity in that area then you've seen, also some associated margins, I think people are looking for, for a while. So that's something we'll do going forward. Our service business continues to grow year-over-year, the number of contracts and backlog continues to grow, so even though again, we have a down product quarter, our service business grew and both FPP added in parts. So I think the total service backlog, that's about $65 million. Jayme if I'm correct? Jayme Brooks We're at $63 million in Q1. Darren Jamison $63 million in Q1 not $65 million. So each quarter, positive revenue is coming out but we're putting more on to a positive book to bill there. And I think the good news is, where our markets are growing in CHP has much higher attachment rate than oil and gas. And so we're seeing continued growth and should still continue to grow. You look at our biggest distributors in the U.S. being Infinity [ph], RSP, Regatta, all three of them have almost 100% attachment rate in their seats for customers for the FPP. So we expect more good things there. The new product we're launching in December hits our reliability targets which we've said some more towards 365, that's only going to drive better margins in our FPP going forward. Sameer Joshi Okay. Was there no reduction in the FPP backlog related to the $52 million backlog reduction on the parts? Darren Jamison No, the product backlog was product-only, there was no reduction for BPC related FPP. Sameer Joshi Okay. Just one more last question related to the operating expenses that if you plan to reduce. I heard you say that you're eliminating the C250, did I hear that right? Darren Jamison We're suspending, we're not eliminating. So we're not going to be commercializing it next year. And so what we've done is we're finishing up the C200, C1000 Series product. So it has met all of our reliability requirements, and we've done some changes to it to make it more effective and cheaper to install, and more beneficial in the CHP market as that's a growing market for us. So we're very happy with where that product is, we'll work on it just to do some testing and certification for the next six months but for the most part, from a design standpoint, its pencil down, we're done. And so we'll focus on some other areas next year but our R&D spends will be down probably 35% to 40% from the prior year. We'll also be down quite a bit in our in our G&A and our marketing expenses. So, the good news is we're at the point where our products are where we want them to be. We've got our distribution channel that's maturing very quickly, they are adding 100 sales people, we're training them as fast as we can, and they are maturing very quickly. So I think we can step back and do less and let them do more which I think is great and that's the beauty of the distribution channel and what we pay them, the discounts that they get on the product. So when I look at it, yes, we're going to reducing our overall footprint by about 25%, this will be the leanest we've been since I've been at the company for in every facet but I think we'll actually be as effective or more effective going forward because we'll be lean, we'll be very tight and very agile. Sameer Joshi Great. I think you are certainly taking the right steps, and good luck in the coming quarters. Darren Jamison Great, thank you.
Operator: Our next question comes from the line of Matt Koranda with ROTH Capital. Your line is now open. Matt Koranda Good afternoon guys, thanks for taking the questions. Just wanted to start out… Darren Jamison You mattered, you have an under-study. Matt Koranda I'm the only one without an under-study today, I never had one. [Multiple Speakers]. Yes, I guess I am the under-study here. I wanted to start out with what you guys are sort of planning with the introduction of the more CHP focus, C1000 in PowerGen, I mean, could you just give us a little bit of color on kind of what you plan on doing to drive a more impactful presence in CHP. I mean you guys made inroads that seemed pretty good so far but what are some of the designed weeks or just give us a little flavor for what you might be talking about without stealing the thunder from the announcement. Darren Jamison I was going to say our marketing people are not real happy to answer that question. No, the reality is we've been doing a lot to the product and we've been trying to keep it under wraps as best we can, we've really been focused on that product for the last 18 months, it had of fairly large program internally. And so - but like anybody, you don't want to talk too much about the pending product. We've actually been rolling in a lot of improvements from the 250 program into the 200 over the last year but we haven't talked a lot about but that's a lot of how we're getting their reliability improvements we're looking for. We're trying to make it more integrated, make it easier to install, as you know, our C65 product has integrated recovery equipment. So we're really trying to make the C1000 much more like the C65 and a more mature product line in every way. So, without saying too much more - we will have a C1000, four C1000 and C2000 [ph] at the show. It will be front and center in the hall when you walk in. So I invite you to come to Las Vegas and come in and see it. Matt Koranda Great, okay, that helpful. I was curious if you could maybe help us understand or maybe quantify the potential sales lift that you guys would get from flipping capital budgets into operating budgets when it comes to that caps on finance solution, I mean if you could - I don't know if you can quantify it or if you could just talk about the sales lift you could get on maybe an annualized basis there? Darren Jamison Yes, I mean as I've said before if you look at the sales we've lost over the last year it's probably $40 million in sales because of financing related issues in the U.S. alone, it's bigger than that obviously, globally. So I think it would be misleading to think we'd get all $40 million of that but we could probably get half of that. So I think we're going to start small but I think within a couple years we'd be like twice be driving about $20 million in revenue from Capstone Finance. But I think more importantly, there is customers where if you put a piece of paper in front of saying here is a project with the 25% IRR, three or four years simple payback, and if you can't do it, we will. I think a lot of customers may repurpose some of their capital dollars because they want to achieve that savings, if not, we'll go ahead and do it ourselves obviously and move that forward. So again, I look at it as a 10% to 20% top line leverage for us, maybe more. But I think we'll start with a reasonable expectation. Matt Koranda Got it. Okay, very helpful. The mix of CHP revenue was impressive, I mean 68% on the quarter. Does the same hold true for the mix of product that you have in the backlog currently? Could you just kind of pick that up for us? Darren Jamison No, our - yes, I can. Our backlog has been more historical to our revenue mix. So I think if you look at our backlog, it's still probably 60% to 65% oil and gas, that's why it's challenging to give timing at the backlog. Now the new bookings are 65% to 70% CHP, so I think it's going to take probably a year to 18 months to turn the backlog over to reflect the kind of new reality of our business. But I think you're going to see a year from now we're going to be 70% CHP in both backlog and revenue kind of quarter-in quarter-out. Intel oil comes back, I think when oil gets at about $60 a barrel I think we'll see a pickup in our in our business. That being said I think the Middle East we can grow revenue now, there is still drilling, we've done very little with their associated gas and I think that's a huge opportunity for us. Matt Koranda Okay, got it, that's great. Maybe one or two more here if I can. You covered sort of the rationale for moving BPC out and that's understandable, is there any - are there any other potential items that you guys might have lacked to remove from backlog yourselves based either on maybe non-performing distributors or any other rationale I guess that would cause you to remove anything from the backlog going to go business? Darren Jamison I cannot say never but as I sit here today I can't think of anything. BPC is by far our most challenging distributor today. Most everybody else is in pretty good shape. As I said, we're there this week, we are happy that they are still very viable and that they've diversified their business and that they're pretty realistic in what they think they can do in the coming year, both in Russia and Belarus. I think we'll look to do something with our second distributor over there which we've got through the purchase the Tier 100 product line. And so I think again, I think we've seen the worst there and that will only get better. I think there is more opportunity for success than the opportunity for another surprise. Matt Koranda All right, great. I'll jump back in queue and take the rest of my stuff offline. Thanks guys. Darren Jamison Great, thanks Matt.
Operator: And our next question comes from the line of Noah Kay [ph] with Oppenheimer and Company. Your line is now open. Unidentified Analyst Yes, thank you for taking my question. I'd like to actually pick up on the CHP theme. If there is one area where we've seen abundant low cost financing, as well as increasing deal flow, it's in the deep retrofits, based particularly here in North America. So you started talking a little bit about the mix, so I was just wondering about what you're seeing in terms of flow and quotation [ph] activity in the efficiency space, in that CHP space. How - to what extent is that trending up? Darren Jamison Yes, definitely as I said earlier, talked today to Regatta, Steve Osvado [ph], the owner of our California distributor here. His exact quote was, it's the most robust as you've seen it, and he is more comfortable or confident in the future that he's ever been. Similar comments from Jet Fighter, who is our distributor in the mid-Atlantic area and I think same thing at New York with RSP in Cory and his team. So I think our distributors in the U.S. that are most in-tune to CHP feel very good. You've got incentives in place on a government level but more importantly on a state level in all those areas, low priced natural gas makes it very easy, financing is getting much easier. So they're seeing projects with three to four year simple payback which are pretty good, especially if you can get low cost money. We're also seeing Christian Pacific, our distributor in Hawaii, just did a megawatt project for major hotel chain and they just ordered three more that we just delivered. So I think he is going to get some traction in Hawaii, he's got very expensive - obviously, utility rates in Hawaii, propane [ph] which is reasonably priced. Our distributor up in Canada is doing a good job and even through the Midwest. So I think CHP through Canada, down into Mexico, in the U.S. is going to very strong. Latin America will both CHP and oil and gas opportunities but it's - CHP is going to be the driver for our business, we're still - I think 90% of what we're doing is retrofitting existing facilities but we are seeing some new builds come out of the ground, especially in New York, related properties and folks like that that are actually adopting the technology at the engineering onset level which is obviously kind of the Holy Grail for us. Unidentified Analyst Absolutely. I just want to turn to oil and gas now. You mentioned earlier, the point of Capstone Finance in many respects for the oil and gas customers is as you said transport - from capital to operate [ph] and it strikes me that you know rental power fleets have been kind of pitching same thing to the producers and the explorers now before - several quarters, prices have kind of gone down and created that crunch. So just wondering about kind of the routes in the market with the product to what extent are your distributors and just financing product, are partnering at all with the rental companies, are they more of an opportunity, more of a threat, how are you going to deal in that, kind of competitive dynamics out there. Thanks. Darren Jamison Definitely it's a good question. The rental power space is - formal power space is an area we've been focused on for a while. We had a lot of conversations with folks in that space, our machines are portable but typically not trailer mounted so you can foreclose to any one of our machines and move them around from place to place but usually you do that on every few year basis. We haven't set our product up to be trailer mounted and moved around every other week, that's certainly something we can do. We've talked with different packagers on how we do that and probably look for a partner to do that right now with kind of where our engineering budgets are. But definitely that's an opportunity, both in other parts of the world, as well as in the U.S. But more importantly, I think is as - you know, when oil is $110 a barrel, it was drill, drill, drill, all those time to talk to you. When oil is $30 or $40 a barrel, the silver lining again is that we can actually get into some customers and have some good dialogue. I think National Oil is a great example, we could never get the door cracked but now we're having some great meetings and conversations with them, we're looking at maybe getting on one of their potential drilling test rigs and playing around with the products. So I think there is some opportunities - oil and gas companies are looking at new creative technologies to lower their operating expenses because they are so focused on their operating expenses. So when one door closes another one opens, and we'll look to maximize that as best as we can. Unidentified Analyst Good, very interesting. And then I was going to ask you some questions about the product but I'll take to queue it, saving it for later. Darren Jamison All right, great, thank you.
Operator: And our last question comes from the line of Carter Driscoll with FBR Capital. Your line is now open. Carter Driscoll Hey guys, I'm trying to squeeze a couple in here, not prolong the call too much. Maybe just talk about the - your plan to shave your breakeven point by 25% and talk about if there are any outsized measures within the numerous items you talked about? And how that corresponds with the drive to increase your direct salesforce? I'm assuming as a heavy variable component to compensation there and whether there is any decision to maybe flat line the hiring process there as you get to $30 million? And then I have a couple of follow-ups. Darren Jamison Yes, I know our sales force - I'll take the last part first. We've got regional sales managers all over the world. So we've got folks in Asia, in Latin America, Africa, Middle East, covering Australia, here one here in the U.S. but they really are channel managers. So they are managing the distributors, they are helping train the sugar sales folks, doing four legged sales calls and lunch and learns of customers, those kind of things. So the number of sales people we have hasn't changed, we did add a Russian speaking sales person recently but then took another sales person out of the organization. So we are flat lined right now and with $1.5 billion of pending opportunities, I don't think we need more sales folks. From a distribution perspective, we're in low 90s I think to think right now on number distributors that will add a few and we'll probably merge a few together, so that number probably won't change significantly, maybe you'll stay around 100. From the other costs we're looking at, as I mentioned the C1000, C200 series product program is winding down to a conclusion. You know if you look at our spend last year, for the fiscal year be around $11 million of R&D, again that number will drop 35%, 40%. A lot of that is hardware spend that we're not spending, that's dollars with UL, with CE, all certification efforts we did for Europe this year. So we've spent a lot of money in hardware development and in paying certification bodies and agencies, as well as consultants and other folks. So as we kind of dial back our R&D, as we dial back a little bit on the marketing side of the business that's going to free up some dollars. Obviously, I mentioned we did take some head can out of the business, we're looking to be as lean as we can, wherever we can because on further areas as I mentioned, the leadership team forfeited their executive bonus, that's something we accrue for on a quarterly basis whether it's returned or not, we true it up at the end of the year. We're voluntarily giving up our options which is a non-cash but it's actually hit the P&L every quarter as an expense. So as we get rid of some of those things, we've got a Board meeting next week where we talk to the Board about ways they can help reduce operating expenses by having Board meeting telephonically, just reducing travel costs, all those good things. So there is no Sacred Cow, every part of the company were sweeping the corners to make sure we get these thing as lean as possible and I think we can get to that, call it 25% reduction across the Board by a whole host of activities and the leadership team that I have is very engaged and is taking that challenge and I think they are very confident they can make that happen. So getting the cost structure right, we couldn't have done this about a year ago because we were still building the distribution channel, we're still working on the major C200, C1000 program. So I think timing is right, and if we can do that kind of marketing activities in some of these new markets; Africa, Latin America, Middle East, I think we're going to be able to get the revenue back very quickly. Carter Driscoll And I'm assuming given what you talked about in terms of trimming the CapEx that you feel confident if you can hit your target date of April 2016 for the execution of the plan that have adequate capital to get there. I know you have an ATM in place now, if you can utilize it or not. Just give us your comfort level with where that stands and potential other measures you could do so if it gets elongated? Darren Jamison No, I think that that's a very important point. I think if you look at it, our cash level right now is about as low as I don't want to be. We don't want to run too close to the tree tops, so we've got the ATM in place that we did a little bit last quarter just to make sure that it worked, we understood the function of it, I think about $1 million of cash came in last quarter from the ATM. So we do have that in place, we're confident with the ability that the folks that they're going to execute it, that they are sensitive they are not putting too much pressure on the stock when they do it. The reality, we also have Wells Fargo. That bank line was recently increased to $20 million because of our poor quarter last quarter, we blew our covenant so we had to get them to come in and reset them again, and they did. So I thank them for their patience, they've been with us for a long time and seen the good days and bad days but they're still on Board and still confident in our business which is a nice endorsement. But more importantly, we got to get the finished goods out, get the cash cycle going, get our DSO down, we probably have a good $10 million that we can convert to cash between receivables and finished goods this quarter. So if we can get that $10 million, kind of rung out of our balance sheet that will make the next quarter look a lot better and give us that kind of breathing room that we need. But our goal is to avoid any large equity offering it at these kind of prices and this market if we can help it. Obviously, if we have to we will but we think between the ATM, the bank line, and our balance sheet cleaning up some of those receivables and inventory, we can avoid it for a long time. Carter Driscoll And then just maybe a somewhat speculative question ahead of finalizing Capstone Finance. You think that if you had it in place that could have helped BPC at all? And how do you think about that type of financing risk either by geography or slip between CHP and oil and gas, and how do you kind of rank what the priority finance opportunities are going to be? I realize it's jumping ahead of… Darren Jamison I think it's a good question to ask. I think we want to go lowest risk first, so I think we're going to start U.S. based, we're going to start oil and gas. Our oil and gas is low risk, twofold; one, the project is much simpler, you're not installing CHP, you're not trying to do it as a New York high rise class A office building, with union labor and closing down Manhattan Streets. Putting a product on the ground and the oil patch is very simple and quick, permitting is not an issue typically. So I think we can find a blue chip customer that's got a great balance sheet, who's got good cash flow coming out of a well or an operation that we can put the product at, be very confident we're going to get paid and that the project is going to go in quickly and easily, so number one focus. And it's a market that's down, that we're losing orders and the customers have a problem that we can fix. So that's why we're focusing on U.S. oil and gas first. After that if it's successful, we'll open it up to the U.S. CHP but we'll still look for hotel chains, bigger industrials, we're still going to look for better, more blue chip clients in the beginning. As that portfolio grows, I think we can add a little more risk to it and take a little more credit risk and customer risk, but in the beginning we're going to make sure it's very high end. And again, we don't want to talk about the yield colors with some of the other folks are doing in our space but I think we made a lot of sales, something that fits into that yield curve or more importantly, selling back to the customer, get that cash back into the JV and then rinse repeat or do it again. Carter Driscoll Perfect. I'll tale the rest of mine offline. Thanks for your time. Darren Jamison Great, thank you.
Operator: I'm showing no further questions at this time, I would now like to turn the conference over to Darren Jamison for any closing remarks.
Darren Jamison: Great, well thank you guys, great participation, I know there is a lot of other earnings call going on, so I appreciate you guys taking the time to be on the call and as usual, very good questions. I guess in conclusion as I look at it. I really believe that this new cost structure that we can get ourselves into in the next 60 to 90 days, is really going to put us in a great place. I believe that the price increase that we're going to be able to put in place on the new product in April, the 100 sales people we're going to add globally, the new Capstone Finance, the JV we've been talking about, and also the new products. All these things are going to help us perform and have a more robust revenue and hopefully get that revenue growth back. I look back recently doing a little soul searching, I think last year and this year are the only two years of my career I didn't have year-over-year top line revenue growth, so not a neighborhood I want to live in when we get back to growing the business. The opportunity is definitely there, we seem to execute better and make sure our products are as good as they can be. I'm very excited about Latin America, very sad about Africa, it was my first trip to Africa, some of our folks go, that's first time I've been there. We've got some great distributors that are doing a lot of work and the opportunities are huge. We've already got product down there but I think there is a lot more that we can do. Middle East, Australia we had a great quarter. I think definitely we're going to see some growth and really diversification, so more importantly, we've gone from a business that was very dependent on U.S., Europe and Russia; and we're going to move toward a business that's - Canada, U.S, Mexico, Latin America, Africa and Middle East, Europe, less dependent on Russia, Australia is doing great. So having lower exposure to high risk countries like Russia but also better diversification in our portfolio customer base will make us more immune to some of these headwinds going forward, and I think they diversifying more to CHP which is actually a bigger market for us than oil and gas, it will be very good. So I think going forward, we can drive higher revenue growth, but more importantly, better quality revenue, more diversified, lower exposure to certain markets. You're always going to have exposure as a global company but again, I think the more diversified we can be, the more those macroeconomic headwinds will least impact us. Our goal has now changed, we need to get to EBITDA breakeven as fast as possible, it's been long enough. I know other people in our space maybe have been doing it longer than us but I feel like the time is now. Despite the headwinds we need to cut our expenses, right size the business and get to EBITDA breakeven as fast as possible despite the headwinds. And then when the headwinds come back, we'll grow even better and headwinds will come back, it's not a matter of which but when, they are cyclical. So I don't think our employees and our distributors because I know they are all in, they are all in both financially and to heart and soul and the technology, it's been a challenging quarter for everybody but I want to thank our shareholders and everybody who participated in today's call. Again, not great having great news but I think looking forward, we've got the right plan, and the right partners and the right product and we're going to have some good quarters coming up. So with that I'm look forward to talking to everybody after the third quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, you may all disconnect. Everyone have a wonderful day.